Operator: Greetings. Welcome to Quaker Houghton's Fourth Quarter 2025 Results Conference Call. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the call over to John Dalhoff, Investor Relations. Thank you, Mr. Dalhoff, you may begin.
John Dalhoff: Thank you. Good morning, and welcome to Quaker Houghton's Fourth Quarter and Full Year 2025 Earnings Conference Call. Joining us on the call today are Joe Berquist, our President and Chief Executive Officer; Tom Coler, our Executive Vice President and Chief Financial Officer; and Robert Traub, our General Counsel. Our comments relate to the financial information released after the close of the U.S. markets yesterday, February 23, 2026. Our press release and accompanying slides can be found on our Investor Relations website. Both the prepared commentary and the discussion during this call may contain forward-looking statements, reflecting the company's current view of future events and their potential effect on Quaker Houghton's operating and financial performance. These statements involve uncertainties and risks, which may cause actual results to differ. The company is under no obligation to provide subsequent updates to these forward-looking statements. This presentation also contains certain non-GAAP financial measures, and the company has provided reconciliations to the most directly comparable GAAP financial measures in the appendix of the presentation materials, which are available on our website. For additional information, please refer to our filings with the SEC. Now it's my pleasure to hand the call over to Joe.
Joseph Berquist: Thank you, John, and good morning, everyone. I am pleased with our fourth quarter results, which resulted in our second consecutive quarter of year-over-year EBITDA improvement. Adjusted EBITDA was up 11% and adjusted earnings per share increased 24% compared to the prior year. Our results were driven by new business wins in all regions highlighted by strong organic volume growth in the Asia Pacific region, where our planned strategic efforts continue to deliver consistently strong results. For the full year, net sales in Asia Pacific grew 13% while organic volume grew 5% despite persistent soft market conditions, demonstrating how our go-to-market approach and expansion of capabilities in the region are driving growth. Market conditions in the Americas and EMEA remain soft as uncertainty from tariffs and extended customer outage in North America and seasonal impacts affected us in the fourth quarter. Despite the challenging environment, our total organic volume was down less than 1% versus the prior year, but would have been flat if not for some operational challenges that occurred in our U.S. plants in December. Net share gains of approximately 4% mitigated the soft market and collective headwinds we experienced in the quarter, and we achieved slight organic volume growth for the full year. Gross profit increased by 6% compared to the prior year quarter. Gross margin percentage was flat with some variation in regional mix. Our EMEA region gross margins improved by 280 basis points due to favorable price/mix and lower raw material costs. And Asia Pacific had margin growth on an organic basis. This favorability was offset by negative impacts from absorption along with higher maintenance, repairs and raw material disposal costs in North America. Sequentially, gross margins were down 150 basis points compared to the third quarter but our product margins remained steady globally. Raw material costs stabilized in the latter part of the year, and we were able to successfully implement targeted price increases in parts of Asia Pacific in the fourth quarter. The company generated $47 million in operating cash flow in the fourth quarter, down from $63 million in the prior year period due to higher restructuring costs and negative impacts to working capital. For the full year, we generated $136 million in operating cash flow compared to $205 million in 2024. In addition to higher year-over-year restructuring charges of $29 million, the company made temporary increases to inventory in its EMEA segment in the fourth quarter as we begin to execute network optimization actions in Europe. We recently announced the closure of our German manufacturing facility in Dortmund as part of a broader set of network initiatives. The volume from the Dortmund plant will be absorbed into existing excess capacity in our European network. We anticipate cost savings of approximately $2 million from this action in 2026 with annual ongoing cost savings of approximately $5 million beginning in 2027. The company also booked approximately $7 million of costs related to the assessment of multiple acquisition opportunities in the latter part of the year. We do not anticipate that the acquisition-related work will result in specific transactions at this time. Focusing on the quarter, our performance was in line with expectations despite a persistently challenging economic environment. Year-over-year organic volumes fell less than 1% but outpaced our major end markets, which declined by a low to mid-single-digit percentage. Persistent tariff uncertainty continues to disrupt global trade flows and negatively influence our customers' operations. Net share gains, disciplined cost measures and a positive contribution from recent acquisitions helped offset market weakness. Our acquisition of Dipsol completed in the second quarter, continues to perform as expected, contributing $21 million to net sales in the fourth quarter. Organic sales volumes in Asia Pacific grew 4% in the quarter. This was the 10th consecutive quarter of year-over-year volume growth in that region. Asia Pacific growth offset organic volume decline in EMEA and the Americas, which was driven by overall market softness and an extended customer outage in North America. Lingering demand from tariffs were compounded by weather -- lingering demand impacts from tariffs were compounded by weather-related operational challenges in December. We believe total company organic sales volumes would have been flat to the prior year in Q4 when adjusting for these factors. The company continues to execute cost savings initiatives which led to a 4% year-over-year decline in organic SG&A at constant currency. Total SG&A costs increased 4%, primarily due to the impact of acquisitions and foreign exchange. Our previously announced complexity and cost reduction plan generated approximately $25 million of run rate savings for the full year. We will continue to evaluate additional cost savings opportunities and execute in a prudent and disciplined manner towards continuously improving our EBITDA margins over the long term. We made progress reducing complexity and transforming our cost structure in 2025. But there is more work to be done. We have identified specific new initiatives that will streamline and harmonize our global business processes, enhance and further rationalize our global manufacturing network and finish integration of past acquisitions. These foundational steps are already enabling better efficiency and more effective cross-selling across the portfolio. As we continue to sharpen and refresh our core portfolio of products and services, we have also begun to consolidate and strengthen our product brands across the organization. Our balance sheet is strong, gives us flexibility to continue to evaluate acquisitions that could expand our offering, increase our total addressable market, enhance innovation, add new capabilities and provide access to new customers and geographies. We completed 3 acquisitions in 2025, adding approximately $95 million of annualized revenue. We will continue to evaluate strategic acquisitions in a disciplined manner as M&A remains a core tenet of our capital allocation strategy that prioritizes investments for growth. Quaker Houghton continues to demonstrate operating resilience. Since 2020, we have weathered the COVID-19 pandemic, a global supply chain crisis, uncertainty due to tariffs and ongoing geopolitical instability. Our markets have not returned to pre-COVID operating levels, yet we have delivered profitable growth and are well positioned to sustain that momentum. As our underlying markets stabilize and improve, we will accelerate future growth by unlocking the leverage and strength that is inherent in our company. The cost actions we have taken over the past few years have positioned the company to strategically invest in our global team of technical experts, driving innovation and new capabilities. Quaker Houghton is poised to build upon our well-known reputation of differentiated customer service as we continue to evolve into an even more responsive, nimble and efficient company. We are excited about the strong momentum we have created in Asia Pacific where our intentional focus on high-growth markets and key market segments is paying off. Notably, we are winning with new metalworking customers and growing our share in the electric vehicle OEM and component sector. We have taken steps to proportionately scale our organization to achieve sustainable growth in Asia Pacific and we'll open a new manufacturing facility in China later this year. Our investments in emerging markets like China, India, Asia and Africa demonstrates our commitment to serving customers locally while delivering the full capabilities we have built as a leading process fluid and service provider to industrial manufacturing companies in the world. I am optimistic as we head into 2026 and excited about our momentum. In the past year, we have made substantial progress strengthening and stabilizing our customer intimate sales and service capabilities. Our service-intensive approach is clearly working. Our sales growth was bolstered by innovative progress achieved in the development of our fluid intelligence capabilities. Food intelligence is an evolution and enhancement of Quaker Houghton's service offering, empowered by new and innovative measurement, automation and digital tools. Our Fluid Intelligence offering is amplifying the impact of our technical teams and enabling customers to gain insights to optimize how our fluids perform. Looking forward, our external markets are not expected to improve in the near future. We anticipate underlying markets to remain flat in 2026 and with the potential for some incremental growth in the second half of the year. We remain confident in our ability to deliver net share gains within our target range of 2% to 4% as we execute our sales pipeline, benefit from the wrap of new business wins gained in 2025 and gain the full year impact of acquisitions, primarily Dipsol in our results. Our visibility into the sales pipeline and our recent history give us confidence that we will continue to win new business at rates that exceed underlying market growth. Our business foundation remains strong as we move into 2026. We do not expect operational issues that occurred in the fourth quarter in North America to carry into the first quarter. Raw material costs are expected to remain steady in the first part of the year, and we anticipate gross margin percentage will be within our targeted range of 36% to 37% for the full year. We will deliver positive share gains and organic growth in all our segments in 2026. On the cost side, variable compensation and inflation will result in higher SG&A year-over-year. We plan to partially offset this by continuing to execute transformational initiatives and making improvements to our cost structure to support our long-term goal of sustaining EBITDA margins above 18%. This journey has begun already, and we expect modest investment and careful planning will be required to fully reach our profitability margin target in the next few years. We anticipate our third consecutive quarter of year-over-year EBITDA improvement in the first quarter of 2026, which will come from share gains, gross margin improvement and run rate impact of acquisitions. For the full year, we expect to improve top line performance, leading to year-over-year adjusted EBITDA growth. I am proud of what we have accomplished and grateful for the contributions of our approximately 4,700 global employees delivered to our customers and Quaker Houghton's many stakeholders. Our people remain our greatest asset, and their unwavering commitment to serving our customers continues to drive our success. Even in challenging economic times, we stay grounded in our core values, and demonstrate our dedication to the communities in which we operate, reflected in recognition we received being named one of America's most responsible companies in 2025. We will continue to move forward together and are committed to driving growth and long-term value for our customers and shareholders. With that, I would like to pass it to Tom to discuss the financials in more detail.
Tom Coler: Thank you, Joe, and good morning, everyone. Fourth quarter net sales were $468 million, a 6% increase from the prior year. Organic volumes declined less than 1%, but were boosted by share gains across all regions. In the fourth quarter, total company share gains were approximately 4%. Acquisitions contributed an additional 6% to sales primarily related to Dipsol. Selling price and product mix were 1% lower than the prior year, consisting of impacts from both product, service and geographic mix as well as pricing, largely associated with indexes. Gross profit dollars increased year-over-year on a non-GAAP basis, while gross margin was 35.3% compared to 35.2% in the first quarter -- in the fourth quarter of 2024. Product margins in the fourth quarter remained healthy in all geographies and increased year-over-year in both EMEA and Asia Pacific. Q4 2025 gross margin was impacted by seasonality and unfavorable manufacturing absorption as well as higher maintenance, repairs and raw material disposal costs in North America. On a non-GAAP basis, SG&A increased approximately $4 million or 4% in the fourth quarter compared to the prior year, mainly due to acquisitions and the impact of foreign currency. Excluding these items, organic SG&A was approximately 4% lower in the fourth quarter and 2% lower for the full year in 2025 as we effectively executed on our cost savings and optimization plan. We delivered $72 million of adjusted EBITDA in the fourth quarter, an increase of 11% compared to the prior year. Adjusted EBITDA margin of 15.3%, improved 75 basis points year-over-year but was lower than the prior quarters due to adverse impacts on gross margin in North America in Q4 of 2025. Switching now to our segment results. We continue to see strong positive momentum in our Asia Pacific segment, which delivered its 10th consecutive quarter of organic volume growth and has now experienced organic net sales growth in 9 of the last 10 quarters. New business wins continue to be the primary catalyst for this growth. Asia Pacific sales in the fourth quarter increased 15% year-over-year as the impact of our acquisition of Dipsol complemented organic volume growth of 4%, partially offset by unfavorable price and mix. For the full year, sales increased 13% as the impact of our acquisition and a 5% increase in organic sales volume offset unfavorable price and mix. Segment earnings in Asia Pacific increased approximately $3 million or 11% in the fourth quarter compared to the prior year. This was driven by higher net sales, partially offset by lower operating margin due to unfavorable impacts from product mix and service revenue. Fourth quarter net sales in the EMEA segment increased 7% year-over-year despite continued market softness due to an increase in sales from our acquisitions, favorable selling price and product mix and favorable foreign currency impacts. These items were partially offset by a 2% decline in organic sales volumes, which outpaced underlying market declines due to net share gains. Segment earnings in EMEA increased approximately $3 million or 17% in the fourth quarter compared to the prior year. This was the result of higher net sales and improved operating margin due to favorable pricing and product mix and lower raw material costs. Fourth quarter net sales in the Americas segment were flat to the prior year as an increase in sales from acquisitions and favorable impact from foreign currency were offset by lower organic sales volumes. Net share gains in the region during the quarter were offset by overall market softness and specific factors, including the outage at a major North American metal producer, impacts from tariffs on demand and several operational disruptions that delayed shipments in Q4. Segment earnings in the Americas were flat in the fourth quarter compared to the prior year as slightly lower sales volumes were offset by higher operating margin. Turning to nonoperating costs. Our interest expense was $11 million in the fourth quarter, which was consistent with the prior quarter. Our cost of debt remained approximately 5% in the quarter. Our effective tax rate, excluding nonrecurring and noncore items, was approximately 25% in the fourth quarter of 2025 while our full year effective tax rate was in line with expectations at approximately 28%. The Q4 effective tax rate was lower than the full year rate due to the timing of certain tax incentives related to our operations in China. In the fourth quarter, our GAAP diluted earnings per share were $1.18, and our non-GAAP diluted earnings per share were $1.65, a 24% increase year-over-year. For the full year, we had a GAAP diluted loss per share of $0.14, which included an $89 million noncash goodwill impairment charge and $35 million of restructuring charges related to our cost savings program. Adjusting for these and other non-GAAP items, our full year non-GAAP diluted earnings per share were $7.02. Cash generated from operations was $47 million in the fourth quarter and $136 million for the full year compared to $205 million for the full year in 2024. The primary drivers of lower cash generation compared to the prior year are higher net outflows from restructuring activities and an increase in working capital. The working capital increase was due to higher inventories related to operational issues in North America and the closure of our manufacturing facility in Dortmund, Germany, along with the timing of supplier payments and accrued liabilities in Q4. Capital expenditures were approximately $22 million in the fourth quarter, consistent with the prior year and were $56 million for the full year. This represents an increase of approximately $14 million over the prior year, mainly due to the construction of our new facility in China, which is on track to begin operations in the second half of 2026. Capital expenditures are once again expected to be between 2.5% and 3.5% of sales in 2026. This includes continued investment in organic growth initiatives, along with the completion of our China production facility and moving our corporate headquarters and combining our R&D labs in a new location in the Philadelphia area. During the fourth quarter, we paid approximately $9 million in dividends and repurchased approximately $5 million of shares. For the full year, we returned $76 million to shareholders through $42 million of share repurchases and $34 million of dividend payments, which reflects our 16th consecutive year of increasing our annual dividend payout. Our balance sheet and liquidity remains strong, our net debt at year-end was $691 million, and we continued to lower our net leverage ratio following the Dipsol acquisition, steadily reducing it to 2.3x our trailing 12 months adjusted EBITDA at the end of the year. We had another strong year in 2025. Despite continuing macroeconomic and geopolitical challenges, we continue to gain share and slightly increase organic sales volumes while executing on our cost savings actions. The 3 acquisitions that we closed during the year complemented our business results and continue to perform in line with expectations. We remain disciplined with our capital allocation strategy, and we'll continue to return cash to shareholders and work towards reducing net leverage following last year's acquisitions. With that, I'll turn it back over to Joe.
Joseph Berquist: Thank you, Tom. We made significant progress toward achieving our strategic objectives in 2025, and we look forward to growing revenues and adjusted EBITDA in 2026. With that, we'd be happy to take your questions.
Operator: [Operator Instructions] Our first question is from Mike Harrison with Seaport Research Partners.
Michael Harrison: Joe, you mentioned the weather-related operational issues that impacted Q4, and it sounds like they're now resolved. I'm curious, is there -- can you help quantify that for us? And I guess, looking out to Q1, I'm sure you guys have a bunch of snow right now in the Philadelphia area. And I'm just curious, is it possible that we have some additional weather-related impacts to keep in mind as we start thinking about what Q1 looks like?
Joseph Berquist: Yes. Thanks, Mike. Yes, in the fourth quarter, I think, particularly in December, we had some usual things that you see in plants, frozen pipes, issues with trucks and the like, a boiler, not to get too specific, but that if you think about the impact of that, did set us back a couple of days, I guess, in the month. And as we said in the comments earlier, you think overall, the impact of that was somewhere around 1% on our volume, and we would have been essentially flat. That's really been resolved as we head into the first quarter. Now we had this big snow event yesterday. Most of that was on the East Coast. And thankfully, our manufacturing is really in the center of the country in Ohio and Michigan, Illinois for the most part. So there is a ripple effect with these things as trucks and raw materials move around the country and it impacts our customers as well as us. But I don't expect that to be anything real impactful at this point, Mike.
Michael Harrison: All right. And then you mentioned that you, it sounds like during Q4, you were getting some pricing in Asia which is good because I know that price/mix number has been under some pressure. But I was curious if you could give us a sense of your expectations for pricing there and maybe also wrap in some commentary on what you're seeing in raw materials, I believe, some of these oleochemicals that have been pressuring your margins back kind of in the middle of the year seem to have started to come lower, but maybe just some thoughts on kind of price versus raw material cost dynamics into the next couple of quarters.
Joseph Berquist: Sure, Mike. Yes, from a raw material standpoint, I mean, we're seeing things stabilize. Our outlook into Q1, Q2 at this point is relative stability. I think what you saw in the fourth quarter is timing of some of our contracts there. We had issues throughout the year last year in Asia Pacific particularly some of those issues just took a while to resolve because we had contracts and we had to negotiate new contracts in the fourth quarter and get some pricing. I am not really looking at pushing pricing right now. I think it's -- things have stabilized and overall should be a pretty flat market as far as that goes.
Michael Harrison: All right. And then I guess just in terms of your outlook and expecting EBITDA growth in 2026, it looks like the sell-side consensus right now is looking for something close to 10% growth over 2025. And I'm just curious, is that what you're targeting internally? Or would you say that the market outlook at this point probably supports a lower growth rate than that 10% that's baked in the consensus?
Joseph Berquist: Yes. I mean, we don't give specific guidance on that, but what I could tell you, Mike, is just kind of the algorithm that I think about the markets that we're in, are -- we're not expected to really grow. Like so underlying markets, I think, potentially could even be slightly down in the first half of the year, maybe slightly up in the second half of the year, but overall kind of flat. We have been very happy with how the share gain, the new business acquisition has gone over the past several quarters and feel pretty confident as we head into this year that we'll be able to continue that pace. We mentioned in the comments earlier, our target there is sort of 2% to 4% outgrowth of the market, and we've been on the higher end of that. and I would expect that to continue with the visibility that I have to the pipeline and how things are looking on that end. We made some acquisitions last year. Those really didn't come into play until the second quarter, so we will have an extra quarter of those in our numbers. And so call that a 1% to 2% kind of tailwind. We think there's perhaps some percent favorability overall with FX for the year, some puts and takes there, so some higher costs, but also some translation that helps us. I do expect our gross margins to be -- to recover to -- from the fourth quarter to be in that range of 36% to 37%. And then overall, I think we mentioned also there is a little bit of variable comp rebuild, a little bit of inflation. We have some -- Tom mentioned in his comments, the new Radnor facility or the new facility here in Philadelphia. So some depreciation and things like that coming online. But overall, really the algorithm that we're shooting for is a sort of mid-single-digit volume and revenue growth. If we could do a little bit better than that, great, and then get that leverage, as you said, to the high-single digits on EBITDA as we kind of scale everything into the business.
Operator: Our next question is from Laurence Alexander with Jefferies.
Laurence Alexander: Could you characterize the M&A pipeline? And I guess also, can you give us some sense of the regional mix in the pipeline?
Joseph Berquist: Yes, Laurence. I think we mentioned earlier that we had -- we did have some activity in the fourth quarter. Really, it was related to kind of second half of the year, multiple opportunities that we looked at. Those were not really regional opportunities, I would call them multiregional or global opportunities. They were larger and as I also mentioned, we don't anticipate any of those to lead to a transaction, nothing is imminent. The overall pipeline itself remains healthy. I would say, Laurence, there's always a balance for us. We look at things in kind of 2 different angles, right, where we've had a good track record of doing these bolt-on type of transactions, things that add, help us grow our total addressable market, give us capabilities that we don't have, really expanding that wallet that we could sell to our customers transformational things. I think they come along few and far between. When they do come along, we like to participate. Our balance sheet is strong. We have the ability to do those types of things, but we're also going to be very disciplined and not do something that doesn't make sense for our shareholders.
Laurence Alexander: And similarly just I guess on a regional basis, can you give a sense for -- are your share gains fairly evenly distributed? Or is it kind of more in one region? Is it tied to a particular customer end market mixes and customers with end markets or competitors of certain end market exposure? Just trying to get a sense for whether there's any kind of generational or limiting factor on the share gains that we should be aware of?
Joseph Berquist: I mean I'd say the share gains themselves have been pretty broad based. It's been all 3 regions, so Americas, EMEA and Asia Pac. The basis of it, Asia Pac is definitely higher than EMEA and Americas, I mean, call it on almost a 2x basis higher in Asia Pac versus those other regions. Some of that is just what's happening there, right? You have a lot of growth in markets like India, China is not growing the way it used to in the past, but it's still growing, right? And relative to the Americas and EMEA, that means new lines coming on, even new customers that didn't exist, and we make it an intentional part of our strategy to be the incumbent when these new plants come online. So that really speaks to some of the reasons why we're seeing higher conversion rates in Asia Pac than the other parts of the world. But overall, it's all 3 regions. And I think the sales engine is working pretty well for us right now.
Operator: Our next question is from David Begleiter with Deutsche Bank.
David Begleiter: Joe, you mentioned you expect some markets to be maybe down slightly in the first half of the year. Which markets are those? Which markets could be up in the first half of the year?
Joseph Berquist: Yes. I mean I think -- I would say the Americas and EMEA both were sluggish toward the end of the fourth quarter, and we've seen that carry into Q1. There may be some weather disruptions here in Q1 for Americas. I don't think that's going to be anything that's material. But we're just not seeing any kind of broad-based recovery in the manufacturing segment in Americas or EMEA right now. PMIs dipped below 50 and are hovering right around that number. So it's just there's not a lot happening, David, in those markets right now. And there's a normal seasonality that you have in Asia Pacific due to the Lunar holiday that happens in February. But on balance, I think when you put all that together, we think things are going to be relatively flat or if they are down, be very, very small incrementally down. The one area I would say is we have some specific customer issues in Americas that related to events that took place at their facilities last year. Those will probably carry into the second quarter as far as what we know right now. So that's an additional sort of headwind, I think, on Americas. But again, if I had to put a magnitude around it, I think it's very low-single-digit type of headwind.
David Begleiter: Got it. And I was going to ask on that Americas volume being down 4%, can you parse out underlying growth -- underlying volumes in that business? And what that could be in Q1 and Q2 as well ex the customer outage?
Joseph Berquist: Yes. Underlying growth for Americas, so the markets that we're in, the composite, I think we had it down about 1%. Metals market being up a couple of percent, but auto down. When we talk about the metals market, even though that metals market was up a couple of percent, there was the specific customer issue that then impacted us in North America. It's also a mix of the flat-rolled content versus construction, I-beams, rebar, we tend to participate a lot more on the flat-rolled side. So overall, down about 1% in the fourth quarter and a mix of different things there. The one other angle I would tell you, David, is just uncertainty around tariffs, I think, has impacted this USMCA region, Mexico, particularly with maybe a little bit lower demand down there just from the tariff impact.
David Begleiter: And just to be clear, ex -- your Q1 -- our Q4 volumes in Americas would have been down roughly 1% ex the customer outage. Is that fair?
Joseph Berquist: We think we have been flat, excluding the customer outage in North America. So there was organic share gain. Markets were down. We had organic share gains and then we had these operational issues as well as the specific customer outage. So all of that on balance, we think would have been flat.
Operator: Our next question is from Jon Tanwanteng with CJS Securities.
Jonathan Tanwanteng: I just wanted to clarify, you mentioned that you have these M&A expenses for diligence in several opportunities that aren't expected to close any or result in anything anytime soon. Does that mean you're still too early in the process? Or did they trip up in diligence for one reason or another? And what is the outlook for your M&A this year following that?
Joseph Berquist: Yes, I wouldn't -- so I'm not going to say anything more specific on that, Jon, other than we don't anticipate any of those costs carrying into Q1. And there is no imminent transaction, nothing imminent unfortunately.
Jonathan Tanwanteng: Okay. Fair enough. And then I might have missed it if you called it out specifically. I think you just talked about the customer plant fire. But I was wondering if you could quantify the gross profit or the EBITDA impact associated with that, the disposals and the weather in the quarter if you kind of have a normalized kind of earnings or profitability number.
Joseph Berquist: I don't have that number. I think the impact on gross margin, I guess, or operating margin in the Americas was call it, a little over 1% on the gross margin percentage. The revenues, it's hard to quantify that, but it's less -- I'd say less than $10 million, somewhere between $5 million and $10 million in that range.
Jonathan Tanwanteng: Okay. And that's for all 3 issues together?
Joseph Berquist: Yes. Yes, Jon.
Operator: Our next question is from Arun Viswanathan with RBC Capital Markets.
Arun Viswanathan: So I guess I just wanted to understand the outlook for both Q1 and the full year. So I guess, for Q1, you mentioned for the first half, maybe you'd be flat to slightly down or you don't really see much change in the underlying markets? I guess you'll continue to see share gains and business wins in Asia Pacific, but would that be offset by weakness in the other regions or softness in the other regions? And then maybe could you see some improvement in growth in the second half. And so you would be up for the year? Or is the year-on-year growth mostly from the absence of maybe 5 to 10 one-timers? How should we think about the opportunity for growth in '26?
Joseph Berquist: Yes. Thanks, Arun. No, I'd say overall, like all 3 of our segments, so all 3 regions, we expect to have positive share gains year-over-year, right? So it's not just Asia Pacific. Asia Pacific share gains are coming in at a higher rate maybe than those other 2 regions. But we do expect to perform in that 2% to 4% range. And we've been on a pretty good clip on the higher end of those ranges in the past several quarters. As you mentioned, not expecting much help from the markets, but if there was going to be underlying market growth that would happen in the second half as far as we could tell at this point in time. We do have the benefit now of full year run rate of these acquisitions that we made last year. So that's a 1% to 2% kind of tailwind there. And there's been business that we won last year, right, that sort of snowball effect as that rolls into the new year. So we're targeting to grow our business this year, have organic volume growth year-over-year, have revenue growth year-over-year and have EBITDA growth year-over-year in all 3 of our segments. And just other than that, just it's not coming from the market. It's really coming from our sales development in the pipeline and continuing to execute in that area.
Tom Coler: Yes. And Arun, this is Tom. I would just add that remember, we acquired Dipsol, that deal closed in April last year. So we do have the benefit of 1 additional quarter of acquisition from Dipsol here in Q1 of 2026.
Arun Viswanathan: Okay. And to clarify, what was the amount of nonrepeating items, I guess, in '25 that shouldn't be a drag for '26?
Tom Coler: I don't think we specifically provided a number on that, Arun. I think what Joe had mentioned in his remarks is that our -- we believe our volume in Q4 would have been roughly flat had it not been for the weather-related items and the customer outage.
Arun Viswanathan: Okay. And then could I just ask on margins as well? It looks like there were some -- again, maybe that was related to some of these extra costs. But I'm sure you're facing maybe some labor and benefits inflation, tariff uncertainty and so on. So from a margin perspective, I guess, would you still be on track at some point to get back to 18% EBITDA margins. I think you were down year-on-year in '25 versus '24, but do you expect margin growth in '26? And what would drive that? And do you need volume to, I guess, organic market-based volumes to improve in order to see that margin growth or other things that you can do to drive that?
Tom Coler: Yes. Yes. Thanks, Arun. So what I would say specifically with respect to gross margin in Q4, I think what you mentioned is correct. There were some specific items that we had mentioned in our prepared remarks with respect to weather and some operational challenges that we had specifically in North America relative to production. I would say underlying that, our product margin remains healthy in all 3 regions. And so I would characterize some of the margin impact in Q4 of this year as operational in nature as we have transitioned even now through January here in 2026, we see that margin profile has recovered as some of those operational issues have been resolved. And then with respect to our longer-term goals around 18% EBITDA margin growth, I'll let Joe answer that.
Joseph Berquist: Yes. I mean that's -- it's definitely still the target, Arun. We referenced the plant closure of Dortmund earlier. So that's something, as an example, we're looking at our network around the world. This is particularly in Europe, we have excess capacity, and we have too many nodes and that's an example of where on the manufacturing cost side, there's an opportunity for improvement. It's not just in North America. We think that will come in play in other regions as well. There's a line of sight to specific cost initiatives, mostly in these functional support areas. We're working on things like fixing our master data, streamlining our business processes, and integrating these businesses that we've acquired over the past few years. So there's still opportunities there, I think, to look at combining R&D operations, combining sales offices, looking at combining even the sales organization and getting some benefits there. So really, yes. I mean volume will help us get to 18%, but there's still some self-help, I think, in there that we think tangible actions that we could take that will make a meaningful movement in the next year or two.
Operator: There are no further questions at this time. I would like to turn the call back over to Joe for closing remarks.
Joseph Berquist: Okay. Thank you. Thanks, everyone, for joining our call today. We appreciate your continued interest in Quaker Houghton. I want to sincerely thank all of our colleagues around the world for their hard work in 2025 and their commitment to success in 2026. Please reach out to John, if you have any additional follow-up questions. Thank you.
Operator: Thank you. This will conclude today's conference. You may disconnect at this time, and thank you for your participation.